Operator: Good day, ladies and gentleman and welcome to the Second Quarter 2014 Forum Energy Technologies Earnings Conference Call. My name is Crystal and I will be the operator for today. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. (Operator Instructions). As a reminder this conference is being recorded for replay purposes. I would now like to turn over to your host for today, Mr. Mark Traylor, Vice President of Investor Relations and Planning. Please proceed.
Mark Traylor: Thank you, Crystal. Good morning and welcome to Forum Energy Technologies' quarterly earnings conference call for the second quarter 2014. With us today to present formal remarks is Chris Gaut, Forum's Chairman and Chief Executive Officer; as well as Jim Harris, Chief Financial Officer; and Prady Iyyanki, Chief Operating Officer. We issued our earnings release last night and it is available on our website. The statements made during this conference call, including the answers to your questions, include information that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Forward looking statements involve risks and uncertainties that may cause actual results or events to differ materially from those expressed or implied in such statements. Those risks include among other things, matters that we have described in our earnings release and in our filings with the Securities and Exchange Commission. We do not undertake any ongoing obligation other than that imposed by law to publicly update or revise any forward looking statements to reflect future events, information or circumstances that arise after this call. In addition this conference call contains time-sensitive information that reflects management's best judgment only as the date of the live call. Management's statements may include non-GAAP financial measures. For a reconciliation of these measures refer to our earnings news release available on our website. This call is being recorded. A replay of the call will be available on our website for 30 days following the call. I am now pleased to turn the call over to Chris Gaut.
C. Christopher Gaut : Thanks, Mark and good morning. I will provide an overview of our second quarter performance and offer a few thoughts on the outlook for our business and then turn it over to Jim who will provide more detail on our financial results. Adjusted net income was $0.44 per diluted share and adjusted EBITDA was $83 million, excluding $0.03 per share for foreign exchange and transaction expenses. We are pleased with the 6% sequential revenue growth compared to the first quarter 2014 which was wide spread across our product lines and our 8% increase in operating contribution. I think we are seeing the benefits of our focus on improving operating execution, integration and operating margins. EBITDA margins in the second quarter were consistent with the first quarter margins. This is our fourth consecutive quarter with EBITDA margins at or near our 20% target. Although margin improvement and organic growth remain primary objectives we have also returned to pursuing our accretive acquisition program. We closed the acquisition of Quality Wireline and Cable during the second quarter. Based in Calgary Canada Quality is a leading manufacturer of wireline cable, a critical consumable product used on wireline units to perform various well completion and intervention activities. Quality has a similar customer base to that of our other products for wireline service company customers to whom we supply BOP, lubricators and wireline tools. Total inbound orders during the second quarter were $441 million, a 9% decrease from our all-time high amount of orders received in the first quarter. The second quarter book-to-bill ratio was 104% for the company as a whole, 111% for the Drilling and Subsea segment and 91% for Production and Infrastructure segment. During the second quarter the drilling product line experienced another strong quarter with near-record revenue and orders with a second consecutive quarterly book-to-bill ratio exceeding 120%. We continue to see high demand for consumable and tubular handling products and capital drilling equipment. Driving this demand is the growing level of horizontal drilling in North America and the continued strength in orders for newbuild land rigs and jack-ups. At our Subsea product line revenue increased 20% sequentially, although orders in the second quarter were down 18% compared to the very high level in the first quarter. As previously announced during the second quarter we received the contract to supply four work-class remotely operated vehicles for West Africa, each complete with the Dynacon Launch and Recovery Systems. The order includes three of the latest generation Perry XLX series ROVs. We expect further large orders for work-class vehicles in the third quarter so our backlog in the Subsea business would continue to be strong going into 2015. The Downhole Technologies product line realized a sequential order increase of 13% primarily on improved demand in the North America markets for our Davis-Lynch branded cementing and casing products. Though international bookings were softer in the second quarter we received a $5 million award to supply our cementing and casing equipment to a customer for the Middle East. Strong demand continues for our ProDrill composite frac plugs and for our Cannon protectors. Moving to our Production and Infrastructure segment we had sequential revenue growth of 5% with increases in our pressure pumping consumable products, valves and production and processing systems. Inbound orders in the segment decreased sequentially by 17%. Flow equipment second quarter revenue increased 3% sequentially while orders decreased 16% in the second quarter due to the high level of restocking orders received in the first quarter. We have opened two new service and distribution centers in San Antonio and Canada to better serve our pressure pumping customers in the Eagle Ford and Canadian markets. Construction of our new manufacturing center for pressure pumping consumables is underway with an expected completion date of late fourth quarter this year. Our Infrastructure businesses production equipment and valves saw modest increases in revenue from the first quarter to the second quarter of this year. Much of our business is tied directly to the activity levels of the global oil field service companies and of the North America land drilling companies. As North America and International markets are improving we have experienced four consecutive quarters of record revenue and strong bookings. We think the demand outlook for our equipment and products is favorable. Our third quarter 2014 earnings per share guidance is in the range of $0.42 to $0.48 per share. Our focus continuous to be on growth, operating performance execution and margins. Our CFO, Jim Harris will now discuss our financial results in greater detail. Jim?
James W Harris : Thank you, Chris, and good morning. Consolidated revenues of $428 million for the second quarter are up 6% sequentially and represent the fourth consecutive quarter record for the company. Our Drilling and Subsea segment revenues were $17 million higher than the previous record in the first quarter primarily due to the high demand for Subsea equipment and products. Our Production and Infrastructure segment revenue increased 5% sequentially on higher sales of pressure pumping consumable products, valves and production processing systems. Net income for the second quarter was $40 million, including $2.5 million in foreign translation losses mostly attributable to the depreciation of the U.S. dollar relative to the British pound during the second quarter and $700,000 of transaction expenses. We treat these translation booked foreign exchange losses as non-operational, since they relate primarily to the translation of U.S. dollar denominated receivables for reporting purposes only and have no economic impact in dollar terms. Operating income, excluding the non-operational items was $67 million, up $5 million or 8% from the first quarter. Drilling and Subsea operating income was up $3.3 million with the increase coming in the Subsea product line on a 20% increase in sequential revenue and resulting operating leverage. Production and Infrastructure operating income improved $3 million primarily due to the increased revenue in our flow equipment product line. Adjusted EBITDA margins in the second quarter at 19.4% came in as expected. We still aim to consistently achieve EBITDA margins of 20% and believe that even as we invest in new product developments and operational improvement initiatives we should be at that level in the second half of the year. Adjusted diluted earnings per share for the second quarter were $0.44. We expect diluted earnings per share of between $0.42 and $0.48 for the third quarter. A good portion of the customer orders received in the first and second quarters are for Drilling and Subsea capital equipment’s scheduled to ship in the second half of 2014 and into 2015. Given promised delivery schedules revenue is expected to increase further in the second half of the year. Our diluted share count for the second quarter was 95.7 million shares. We anticipate our diluted share count for the remainder of the 2014 to be at about this level. Net debt at the end of the second quarter was $404 million, down $7 million from the first quarter even after the acquisition of Quality Wireline as we continue to pay down revolver advances with healthy cash flow. We generated $35 million in free cash flow during the second quarter before acquisitions. Interest expense for the quarter was $7.7 million and is expected to be about the same in the third quarter. Corporate expenses were $10.4 million in the second quarter and we expect the run rate for corporate expenses for the rest of the year to be around $10 million per quarter. Capital expenditures were $17.6 million in the quarter and remain budgeted at $60 million for the full year. Depreciation and amortization expenses was $16.3 million for the quarter and is expected to be about the same in the third quarter. Our effective tax rate for the second quarter was 28%. We expect our effective tax rate for the full year and the remainder of 2014 will be approximately 29%. For more information about our financial results please review the earnings release on our website. I will now turn the call back over to Chris for concluding remarks and to moderate Q&A.
C. Christopher Gaut : Thanks Jim. I am pleased with our performance in the first half of the year and believe Forum is well positioned as we enter the second half of 2014. We will continue our focus on growth, operating performance, consistent execution and margins. There is so much to do and plenty of opportunities for internal improvement remain. I want to recognize and thank our employees for their good work and welcome the employees of Quality Wireline to Forum. I think we are coming together as a company and are progressing on our objectives. Thank you for your interest and at this point we will open the line for questions. Crystal let’s please take the first question.
Operator: (Operator Instructions). Our first question will come from the line of Jeff Tillery. Please proceed.
Jeff Tillery - Tudor, Pickering, Holt: Hi good morning.
C. Christopher Gaut : Good morning Jeff.
Jeff Tillery - Tudor, Pickering, Holt: I just want to make sure I heard the moving pieces as you guys went through a lot of numbers. If I think about the improvements in top line for the Drilling and Subsea business is effectively all the revenue growth in Q2 sequentially coming out of Subsea, do I have the kind of moving pieces right, correct?
C. Christopher Gaut : Subsea showed very good increases. The downhole tools business also increased, the drilling business was pretty flat quarter-over-quarter.
Jeff Tillery - Tudor, Pickering, Holt: Okay and then if I think about the capital equipment within Drilling and Subsea are lumpier but if I think about the consumable businesses just in aggregate kind of valves, downhole, the consumables within each of the frac and drilling related businesses, what would that order total have done sequentially, was that up modestly? I’m trying to think of the moving pieces, it seems like it would be, but I’m just trying to make sure I have that correct?
James W Harris: Yeah the consumables business flow equipment and downhole tools and the drilling side of the consumables would have been up. There were some drilling capital equipment items that we’ll working on that will ship here in earlier part of Q2. And the timing of that is hard to judge. Did that address your question?
Jeff Tillery - Tudor, Pickering, Holt: It does, and then the last question I had just the guidance range, if I think about for Q3, the low end it implies a very slight sequential decline. I'm just trying to think if earnings declined effectively, that just come down to an execution issue or timing around shipments because it wouldn’t seem there’s anything underlying that would drive a reduction in profitability?
C. Christopher Gaut : No I think as you can tell from our comments Jeff we’re feeling positive about the trends in our business, full stop. Nonetheless it is difficult to project the actual deliveries of some items, it’s lumpy capital equipment and when customers will accept that and I think we’re just at the low end, just trying to cover an unforeseen event when possibly a lot of capital equipment didn’t ship when we expected it to. That’s not certainly what we’re working towards, but just trying to cover that possibility.
Jeff Tillery - Tudor, Pickering, Holt: Hey, that makes sense. That’s what I presumed, thank you.
Operator: Our next question will come from the line of Doug Becker, please proceed.
Douglas L. Becker - Bank of America Merrill Lynch: Thanks. Chris, the rig count’s higher, pressure pumping utilization is rising, this all really seems to be playing in to Forum’s consumables business. As we think about that translation from the industry indicators to Forum’s revenues should we think about the lag or should it be pretty instantaneous?
C. Christopher Gaut : So yeah I think we are seeing continued improvement in our pressure pumping consumables business. We had in the first quarter a fairly significant amount of orders and some deliveries on those orders that were probably deferred from the fourth quarter and restocking that took place. Despite that very large step change in our Q1 activity we saw further increase in Q2 and our outlook for that business continues to be positive due to higher activity as you pointed out. On our other consumable products business, downhole and that portion of drilling that is consumable, yes, we think that our level of revenue will reflect activity levels that are out there and is the reason that we are seeing these increases in our business and we expect further increases there.
Douglas L. Becker - Bank of America Merrill Lynch: Okay, were there any other acquisitions beyond Quality Wireline during the quarter?
C. Christopher Gaut : No, just the one acquisition, Quality Wireline, we think that’s a real good addition to our offering, similar to the coiled tubing streams, an important product that has a repetitive sales cycle, Quality operates in a business that’s fairly consolidated, very good reputation although a newer company. We think that the opportunities to grow Quality are quite good and we are already planning to what we can do to increase their production capacity.
Douglas L. Becker - Bank of America Merrill Lynch:  Okay, and accretive margins?
C. Christopher Gaut :  Yes.
Douglas L. Becker - Bank of America Merrill Lynch:  Okay. And Jim maybe just a quick one, as we think about your EPS guidance, what EBITDA margin’s embedded there and really just trying to make sure that I know you reiterated 20% EBITDA margins target but it would seem like the embedded margin should be a little bit north of that to reach their annual goal?
James W Harris:  Yeah, so, Doug the estimates that we have for the back half of this year are have us at EBITDA margins at that 20% level so, for the second half.
Douglas L. Becker - Bank of America Merrill Lynch:  Okay, thank you.
C. Christopher Gaut :  Thanks, Doug.
Operator: Our next question will come from the line of Blake Hutchinson. Please proceed.
Blake Hutchinson - Howard Weil: Good morning, guys.
C. Christopher Gaut :  Hi, Blake.
Blake Hutchinson - Howard Weil: Just trying to turn it down a little bit into the margins and their impact of the sub-segment margins and their impact on the divisions, I guess from your revenue commentary, if we look at kind of flat sequential margins for Drilling and Subsea was everything more or less underlying fairly stable and that is more indicative of the mix shift towards Subsea?
C. Christopher Gaut :  So we did have good improvement in margins in Subsea. And in the second half Subsea is expected to deliver on the strong orders it’s had in the first half. So, that will be helpful to the margins in the second half.
Blake Hutchinson - Howard Weil: Okay, did the drilling sub-segment reached 19% operating margin again?
C. Christopher Gaut :  The margins in the drilling sub-segment were down just a little bit in the second quarter, so not quite at that level.
Blake Hutchinson - Howard Weil: Okay, and then similarly as we look at production and infrastructure, again stable outside of perhaps a nice pick-up in the flow equipment margin to drive the improvement from 1Q to 2Q?
C. Christopher Gaut :  Yes, stable across the product lines, still expecting to see towards the latter part of the year some up-tick in the valve activity as we deliver on the petrochem opportunities and those quoting, that quoting activity turns to orders. So late this year and early 2015 we are still expecting to see some up-tick in that business.
Blake Hutchinson - Howard Weil: Great, thanks for the margin color and I’ll turn it back.
C. Christopher Gaut :  Okay, thanks, Blake.
Operator: Our next question will come from the line of Jonathan Sisto. Please proceed.
Jonathan Sisto - Credit Suisse: Good morning, gentlemen.
C. Christopher Gaut :  Hey, John.
Jonathan Sisto - Credit Suisse: Chris, could you maybe remind us what percent of revenue is consumables as it was in the first half of the year perhaps?
C. Christopher Gaut :  Yeah, it would just over 50% would have been consumable. In the first quarter the capital side was more weighted towards Drilling. In the second quarter the capital was more weighted towards Subsea and we expect pretty a well-balanced capital equipment deliveries in the second half of the year and the consumable business to grow with the activities levels in North America.
Jonathan Sisto - Credit Suisse: Okay. And appreciating that you guys have been consolidating and adding capacity and the consistent messaging around EBITDA margins, am I correct to assume that there is still room to chop or wood to chop if you will?
Prady Iyyanki:  Yeah, Jon and as I have discussed in the past, there is an opportunity in the margin expansion as we are gaining momentum on the initiatives we have talked in the past, procurement, the earlier results are pretty good. We will get some get some savings this year on procurement which is the biggest opportunity for us, the manufacturing efficiencies as we consolidate but better manufacturing efficiencies, cycle time, lean time all that is going to give us margin expansion but at the same time, as we’ve discussed in past we’re not happy with the product development spending. So we’re going to take that spending for the next six to seven quarters and invest that in the product development which would also fuel the organic growth. But we are seeing the benefits of our initiatives and some that is reflected in the numbers. But at the same time we’re investing in the product development.
Jonathan Sisto - Credit Suisse: Thank you Prady and I guess I’d like to believe four consistent quarters of EBITDA margins at or around 20% will lead to more acquisitions. Chris just as a way of reminder any specific business line or segment you would be focusing future acquisitions in?
C. Christopher Gaut : There’s that combination in the acquisitions activity of proactive things that we’re looking for and then opportunities that come along. What the Quality Wireline, I think is in that proactive side and reflects our focus on the well intervention and the downhole products area. So that is our proactive focus but John there are also things that come opportunistically that we will look at if they are a good fits with our existing product line.
Jonathan Sisto - Credit Suisse: Yeah, lot of stuff up in Canada, we’ve been hearing lately, thank you guys.
C. Christopher Gaut : Thanks John.
Operator: Our next question will come from the line of Rob MacKenzie. Please proceed.
Robert MacKenzie - Iberia Capital: Thanks very much. Chris I wanted to clarify something, I think you said make sure I got it straight, you indicated I think that Subsea technologies revenue was up 20% in the first quarter and that drilling technologies was flat quarter-over-quarter, is that correct?
C. Christopher Gaut : It was down slightly, nearly flat.
Robert MacKenzie - Iberia Capital: Down slightly, so that means doesn’t that -- that applies almost a doubling at downhole technologies quarter-over-quarter, right?
James W Harris: No, downhole technologies' was up. As Chris mentioned I would say slightly. It was a small increase in the quarter, but we had a good increase in orders in downhole, not all of that’s turned to revenue yet.
James W Harris: So downhole and Subsea were up, drilling was down by a small amount, but up on the consumable side, not so on the capital equipment deliveries.
Robert MacKenzie - Iberia Capital: Okay all right and maybe I’ll try to follow up offline just trying to axe out the numbers on the sub segments there.
James W Harris: Glad to do that.
Robert MacKenzie - Iberia Capital: Yeah, coming back to the margin commentary you’ve been close to 20% for some quarters now, is there a cap on where margins can get to given the nature of your businesses, is 20% the end goal or do you see more upside beyond that as you continue to improve the business?
James W Harris: No, I would say that maximizing margins is not our goal. If it were our goal, yeah I think we could certainly find ways to drive up the margins. Our goal rather is organic growth in our EBITDA and in our income and we think the way to optimize on the growth side as Prady said is to reinvest some of the margin improvement that we’re getting at the gross margin line to add to our systems and process and engineering and new product development capability which will, not immediately but within, we think short to medium term result in higher revenue and higher earnings.
Robert MacKenzie - Iberia Capital: Great, thank you for that. I’ll turn it back.
James W Harris: Okay.
Operator: Our next question will come from the line of David Anderson. Please proceed.
J. David Anderson - JPMorgan: Hey, Chris you just said there was a -- 50% of your business was consumables. Can you just help me understand how do you just define consumables?
C. Christopher Gaut : I think the easiest, simplest answer to that David is operating expense items, yeah.
J. David Anderson - JPMorgan: So when we look at that number latest acquisitions on the Wireline, the Wireline the wire itself. How often do the customers replace that wire? I am just trying to get a handle on, I think it seems like there is number of different ways to think about consumables and there is different cycle times for all the stuff?
C. Christopher Gaut : Right, right. And you know the wire it is a repetitive sales item but it can last a year or more, that is true.
J. David Anderson - JPMorgan: Okay, didn’t realize, it was that quick.
C. Christopher Gaut : It unlike coiled tubing, coiled tubing strings, you know three, four, five a year.
J. David Anderson - JPMorgan: Okay, that’s very helpful. The inventory kind of correction if you will this quarter, I know we had a bigger surge in the first quarter, one of big efforts you guys have made is trying to get better handle on your customer inventory level. So I would presume you have a little bit better line of sight today than you did say 12 or 18 months ago. When you think about where we are in that inventory cycle and maybe you said this before maybe I didn’t quite hear you, where do you think third quarter gets compared to first quarter? Do we get back to those first quarter levels? Just kind of thinking where is that normal run-rate for what we see in terms of activity levels out there today. I am talking more specifically on kind of pressure pumping side as it kind of relates to North America?
C. Christopher Gaut : Yeah, so to be clear our sales were higher in the second quarter then they were in the first quarter. And I think they were higher on the repair items. We did see in the first quarter some orders for complete manifold trailers that were completely outfitted which more would be more associated with capital addition for some of our customers. And we delivered probably more of those in the first quarter than in the second quarter for us. But as we look ahead to later parts of the year we are ramping-up our production in anticipation of a need and demand for higher level of the replacement items. And want to also be able to supply complete suites of treating iron for these new units that are being ordered.
J. David Anderson - JPMorgan: Now in anticipation of that, in that run-up, can you help and I think you just noted that you just built out, you just completed the new manufacturing facility. But kind of overall, are we still on kind of one kind of shift manufacturing wise and when do you kind of start getting to the second. Obviously, what I am getting at there is trying to understand kind of when you hit that second I would think that the incrementals really starts to kick-in. Are we kind of close to that inflection point here?
C. Christopher Gaut :  No, we are ramping-up from two to three shifts.
J. David Anderson - JPMorgan:  Okay.
C. Christopher Gaut :  On our existing manufacturing facilities, our new manufacturing facility for the pressure pumping consumables won’t come on until nearly the end of the year. Of course we are trying to bring that on as quickly as possible. But we are going full out here and fortunately we have this new facility underway and that will give us a step change in our production capacity for next year and we think that will be well timed.
James W Harris: And apart from adding the second and third shift that Chris talked about, additional machinery is coming in too, right, to give us more capacity.
J. David Anderson - JPMorgan:  Okay, great. Thank you very much gentlemen.
C. Christopher Gaut :  Thanks David.
Operator: Our next question will come from the line of Brandon Dobell. Please proceed.
Brandon Dobell - William Blair: Thanks, good morning guys.
C. Christopher Gaut : Hey, Brandon.
Brandon Dobell - William Blair: Chris, your comments about kind of continuing strength in land rigs and jackups, maybe to focus on the jack-up market for a second and your outlook near-term sounds pretty solid. How do you think about the medium term and if you can frame out kind of your exposure on order basis or revenue basis in the near term for jack-ups, that would be helpful too, thanks?
C. Christopher Gaut : I think we all know that there are large number of jack-up rigs on order to be delivered over the next three years and even this quarter there have been a significant number of additional jack-up orders placed as there is a need internationally for the higher specification jack-up rigs for different markets. Our -- and this is really a bit of new market for Forum that we didn’t participate in previously to any significant degree but now we are able to provide catwalks, [inaudible] handling tools, choke and kill manifolds, and so our potential on a jack-up rig $4 million to $7 million in capital equipment per jack-up for a newbuild unit. Now we're not -- we're certainly not going to be supplying that for all 150 rigs out there but we’re making progress and getting into that market. It's incremental for us and it's something we're focused on getting -- making progress and getting more of.
Brandon Dobell - William Blair: Okay, thanks. And then turning to ROV segment for a second, do you guys think there is going to be some sort of a refresh or an upgrade cycle in the next couple of years given that we're coming on kind of three four years of pretty solid volume growth for the ROVs in general, but do you expect to see an opportunity to go back and fix -- upgrade that kind of thing, the fleets are already out there?
Prady Iyyanki: Actually we do see that and that's one of the big initiatives we have in the company. We have about 400 ROVs operational, different life cycles -- ROVs and all that needs over a period of time upgrades, repairs and maintenance and that's one of the activities we've been focused on for the last three months and we do expect that a big growth market for us.
C. Christopher Gaut : Yeah, that's the 400 units that Prady is referring to is the number of our design, our built units that are out there in service with our customers. So it represents a big and growing opportunity for the aftermarket.
Brandon Dobell - William Blair: Okay, great. Thanks guys, appreciate it.
C. Christopher Gaut : Yeah.
Operator: Our next question will come from the line of Darren Gacicia. Please proceed.
Darren Gacicia – Guggenheim: Hi. Thanks guys for taking my call. Good morning.
C. Christopher Gaut : Good morning.
Darren Gacicia – Guggenheim: I want to ask -- I am listening to kind of comments today, I am thinking about comments over the last couple of quarters, there seems to be a balance between sort of reinvesting in kind of organically conceived products versus M&A. It seems like over the last few quarters the focus has been kind of off M&A and kind of towards sort of internal projects if you will. Is there a shift in mentality there at all kind of in the last quarter in terms of where you're looking to kind of spend your time and efforts incrementally or am I just kind of reading into things too much?
C. Christopher Gaut : Sure, Darren. That's a good question. Following a very active period in M&A through July of last year, a year ago we felt that changing our focus to one on consolidation and integration was appropriate, given that we had acquired seven companies within a six month period prior to that. So for nine or 12 months then we have been focusing on that integration, consolidation, internal process improvement, execution, some additions to our management team and we feel like, as I mentioned in my comments, I think we have made some progress over the past year on those initiatives and those objectives. And now, I think with the progress we’ve made we feel we can now in addition to that continued emphasis on the points that Prady was talking about, that are internal improvement and organically motivated. In addition to those we can again take on more M&A activity. And Quality Wireline was the first reflection of that renewed focus on M&A and we think there will be others. But we're not letting up on our internal focus on process improvement and quality and sourcing and supply chain that Prady was talking about earlier.
Darren Gacicia – Guggenheim: Sure. So kind of on that note, I think this year you obviously and this quarter results started to show some evidence of it. The flow business was kind of the focus versus kind of these one of those projects if you will. I think in recent dialogue, downhole tools and the downhole business is maybe the kind of an incremental focus. Obviously you said that orders are picking up, that probably flows I guess over the next kind six to 12 months flows through earnings. On the process and manufacturing side you know what have kind of in the queue and what’s the type of margin improvement you may see from kind of a refocus or kind of a next step on that business?
James W Harris: You know procurement is our biggest cost in the business. We almost have a $1 billion buy and every year we are adding more procurement cost as we grow the business. This year is another good example. We are going to add another $100 million of procurement buy, that’s the biggest opportunity we got from a cost standpoint and we are seeing early results of the savings from a procurement standpoint and we expect to reap the benefits of -- as we get dual sources into play as we make, make or buy decisions, we have a 100 casting suppliers, as we consolidate the supply base, as we do the deal options, the [inaudible] from a procurement standpoint. But as we mentioned in the past we are not happy with our product development spending, which is a big growth lever for us on a move forward basis, we are taking all that savings from a procurement standpoint and just for the next six to seven quarters we are going to take that savings and put that in the product development. Once we reach a decent level of product development spend you will start seeing the saving on the bottom line.
Darren Gacicia – Guggenheim: And when do you think the kind of new product development spend starts to translate into orders and revenue?
James W Harris: The product cycle depends on the size of business, I mean in some cases within six months we will start seeing the incremental growth and in some cases if it’s a capital equipment kind of product development it may take 18 months before we start seeing the growth. So it depends on whether it’s a consumable part of the product development or it’s the capital equipment part of the business. But all businesses are actively looking at new product launches and over the next several months we will also talk about what these products are?
Prady Iyyanki: And we already have some new products that we have introduced but they are just being commercialized and ramped-up and will contribute more over from here forward, they are all interesting -- results from that.
Darren Gacicia – Guggenheim: Is that the frac log business for one, is that something maybe where that’s part of the orders that you received and we may start to see some incrementals from?
James W Harris: Yeah, some additional size products in the frac log space and our quarter two being -- put in a low invention business. On the BOPs side we have introduced some additional units that are different sizes and pressures that I think are good enough, find a good niche in the market.
Prady Iyyanki: The catwalk which we are using in the jackups rigs in Southeast Asia that’s product development which we are seeing the benefits. A couple of products we have launched on the B&V on the Blohm + Voss piece where we are seeing the earlier results of revenue too but we got a lot of room there too from a growth standpoint.
C. Christopher Gaut : So maybe these are things we know, there is market for but we are now devoting the resources to bring these, develop the products and bring them to market.
Darren Gacicia – Guggenheim: Got you and where does that put you from a capacity utilization standpoint on the manufacturing side. I know flow seems tight but where are you at the rest?
C. Christopher Gaut : The capacity expansion is looking across the portfolio in the downhole business, there is capacity expansion on the drilling side, depending on what products on the -- from a drilling standpoint there is a capacity expansion for equipment. We just talked about it. In fact the new acquisition we just brought, the Quality acquisition we making a 10% capacity expansion and over next 12 months we are going to expand further another 30%. So the capacity expansion varies depending on what the product line is but there is a lot of capacity across the portfolio.
James W Harris: There has been a fair amount done but we have other plans that are either in the works or will be starting shortly.
Darren Gacicia – Guggenheim: Thank you very much, thanks guys. Thanks for the time and the color.
C. Christopher Gaut : Sure, Darren.
Operator: Our next question will come from the line of Dan Leben. Please proceed.
Daniel Leben - Robert W. Baird: Great, thanks for taking my questions. First one just on the capital equipment order side, have you seen anything given all the announcements we have seen over the last couple of weeks. Have you started to see that flow in or is it just still the expectation stage where you think the third quarter we should start to see a step up there?
C. Christopher Gaut : On the land drilling side, yes we have seen consistent good flow of orders for capital equipment. I think the very recent announcements on the crusher pumping side have not yet been reflected in our backlog there. And we’re -- of course we’re not, we don’t build the capital equipment, we don’t build the pumping units or the pumps themselves. We supply the treating iron that would be used to outfit those new spreads that are now being ordered. So we are a little bit up at later stage there. So really depends on the market now. On the ROV side, absolutely seeing an increase in capital units there. It’s a good year for ROV orders for use with our customers, the offshore contractors who are doing the installation of all the Subsea equipment that’s been ordered over the past couple of years.
Daniel Leben - Robert W. Baird: Great and then just one another for Prady, just with the Quality acquisition any change we should expect in terms of the integration process or when you were doing due diligence just with increased focus on execution on the internal initiatives?
Prady Iyyanki: Actually the Quality acquisition comes with a pretty good team from an execution standpoint. Where we see the biggest opportunity of the Quality is the growth. The capacity expansion we are talking about is about anywhere from 10% to 40% over the next 12 months is what we see. Primarily say North America business, so as we globalize the business we expect more growth from that business. We’re also in new product we’re looking at the open hole which we’re working on and so which will also give us -- so more products in globalization is our first focus in that business from a growth standpoint. Yes we’ll get some margin expansion from a procurement and also the manufacturing standpoint but I think the bigger benefit we are going to get in that business is growth.
Daniel Leben - Robert W. Baird: Great, thanks guys.
C. Christopher Gaut : Thanks.
Operator: Our next question will come from the line of David Anderson. Please proceed.
J. David Anderson - JPMorgan: Hi guys, a real quick follow up on the ROVs. Some of the E&C companies at least one of them made a comment yesterday about the IOCs shifting CapEx from exploration and development, something we’ve known for a while. Are you starting to see any signs of increased development spending, I know we’ve got a lot of projects being delayed, guess I'm just kind of curious around the commentary around ROV spending, kind of ROVs orders picking up, is it from that kind of replacement cycle that you were talking about before or do you think it’s more from some of these projects that are moving ahead and your customers are kind of ramping up in front of that?
C. Christopher Gaut : It is both, there are replacement units, but I would say the bigger driver of this increase in orders that we’re seeing is for additional vessels that are being used, that are being ordered in order to do the installation work.
J. David Anderson - JPMorgan: Okay great. Thank you Chris.
C. Christopher Gaut : Thanks. Let’s take one more question.
Operator: All right and our final question will come from the line of [Maddie Everett]. Please proceed.
Unidentified Analyst : Hi good morning.
C. Christopher Gaut : Good morning, Maddie.
Unidentified Analyst : In your press release you indicated that the production and infrastructure experienced lower demand for valves, primarily in Canada. I was wondering if you could address this and what you saw in terms of the recovery for spring break-up in Canada.
C. Christopher Gaut : Okay, right and so that comment was a year-over-year comment, right, not a sequential one. So compared to the second quarter of 2013 we saw a higher level of wells being ordered for big projects in the heavy oil, to improve projects in Canada. And we didn’t see that strong level of orders for the heavy oil projects this year. But in fact our valves business has been fairly flat now for four successive quarters. So it is down from the second quarter of 2013. That decline occurred actually in the third quarter of 2013. It’s been fairly flat since then, Maddie, up only -- up a little bit this quarter over the prior quarter. We expect that the next inflection point for volumes in our valve business will be in conjunction with these large amounts of petrol -- and very large Petrochemical projects that are on the drawing boards, the engineering boards currently and we expect to see orders began to flow, begin to flow to us and the other valve companies later this year.
Unidentified Analyst : Right, okay. And what is your outlook as far as demand for downhole technologies throughout the second half of the year. I believe that’s your highest margin business. And how should we expect the flow of orders to play throughout the rest of the year?
C. Christopher Gaut : You know it’s a business we expect to grow with the rig counts, I am sorry with the well counts, and we I think are making progress on our International expansion strategy. As noted our orders were up nicely this quarter over the first quarter of the year. So we expect a positive trend in that business over the second half of this year.
Unidentified Analyst : Okay, thank you.
C. Christopher Gaut : Thank you Maddie, and folks we appreciate your interest. If weren’t able to take your call please give us a call after this and we’ll address your questions. But thank you for your interest and talk to you next quarter,
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect. Have a great day.